Operator: Good morning, everyone, and welcome to the MYR Group First Quarter 2013 Earning Results Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir.
Philip A. Kranz: Thank you, and good morning, everyone. I'd like to welcome you to the MYR Group conference call to discuss the company's first quarter results for 2013, which were reported yesterday. Joining us on today's call are Bill Koertner, President and Chief Executive Officer; Paul Evans, Vice President and Chief Financial Officer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive yesterday's press release, please contact Dresner Corporate Services at (312) 726-3600, and we will send you a copy. Or please go to myrgroup.com where a copy is available under the Investor Relations tab. Also, a replay of today's call will be available until Wednesday, May 15, 2013, at 11:59 PM Eastern Time, by dialing (855) 859-2056 or (404) 537-3406 and entering conference ID 30867334. Before we begin, I want to remind you, this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date, and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's Form 10-K for the year ended December 31, 2012, the company's quarterly report on Form 10-Q for the first quarter of 2013 and in yesterday's press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday's press release. With that said, let me turn the call over to Bill Koertner.
William A. Koertner: Good morning, everyone. Welcome to our first quarter 2013 conference call to discuss financial and operational results. We are varying the format of our first quarter call to include Rick Swartz, our Chief Operating Officer. Rick has been in the COO position for a couple of years and also serves as President of several of our operating companies. I'll start by providing a brief summary of the first quarter results and then turn the call over to Paul Evans, our CFO, for a more detailed financial review. Following Paul's discussion, Rick will provide an overall industry outlook and discuss what we see as MYR's opportunities. I will then conclude with some closing remarks and open the call up for your comments and questions. We posted a strong first quarter of 2013 with higher contract margin, EBITDA and earnings per share compared to the first quarter of last year. Our financial performance was made possible by solid project execution and high utilization of our specialty fleet equipment and tooling. Revenues were down for the quarter compared to last year largely because of the cost component mix of our contract costs, which included much less subcontractor and material costs. Paul will discuss that in more detail later. Gross margin for the first quarter of 2013 increased to 13.6% compared to 10.9% for the first quarter of 2012, an increase of 270 basis points. In addition to the factors just mentioned, overall contract margins benefited from improved performance on a few large projects, due to higher productivity levels, cost efficiencies, additional work and effective contract management. Diluted earnings per share were $0.32 for the first quarter of 2013 compared to $0.29 for the same quarter of last year. EBITDA increased to $18.4 million for the first quarter of 2013 compared to $16 million for the first quarter of 2012, an increase of 14.8%. Over the last 12 months, our return on equity increased to 15.7% compared to 10.1% for the prior 12-month period. We believe this compares favorably to our peer group. Looking forward, we remain bullish on the long-term outlook for both of our business segments. Now Paul will provide details on first quarter 2013 financial results. Rick will then provide some additional insight on current market conditions and our perspective for the future of MYR. After that, I will provide some closing remarks, and there will be an opportunity for you to ask questions. So with that, Paul, please begin.
Paul J. Evans: Thank you, Bill, and good morning, everyone. Yesterday, after the market closed, we announced our 2013 first quarter results. Our revenues for the first quarter of 2013 were $201.3 million, which represented a $38.9 million decrease over the same period in 2012. On a percentage basis, 2013 first quarter revenues decreased 16.2% over the 2012 first quarter. To put this decrease in perspective, first quarter 2012 revenues increased $89.9 million or 59.8% over first quarter 2011 revenues. We've talked on past calls about the impact the contract cost components, specifically, material and subcontractor costs, have on our revenues. With this in mind, material and subcontract costs comprised approximately 30% of the total contract costs in the first quarter of 2013 compared to approximately 44% in the first quarter of 2012. For the full year 2012, approximately 43% of contract costs related to material and subcontractor costs. The amount of subcontractor and material costs as a percentage of overall project costs is highly bearable for project to project, depending on the client and the individual projects. From a segment standpoint and compared to the 2012 first quarter, T&D revenues decreased $44.5 million to $160.5 million, and C&I revenues increased $5.6 million to $40.8 million. Focusing on the T&D segment, revenues were $130.5 million for Transmission and $30 million for Distribution in the first quarter of 2013. This compares to $171.6 million for Transmission and $33.4 million for Distribution for the first quarter of 2012. Transmission revenues decreased in the first quarter of 2013 as compared to the first quarter of 2012, even though we worked slightly more man-hours in the first quarter of 2013 than in the same period last year. And equipment usage was also up from the year earlier period. On a few large transmission projects, there was substantially less material being installed and less subcontractor work being done in the first quarter of 2013 than in the same quarter last year, which resulted in less revenue for the quarter. Material and subcontractor costs in our T&D segment comprised approximately 27% of the total contract costs in the first quarter of 2013 compared to approximately 43% in the first quarter of 2012. Our Transmission business comprised 68% of our revenues in the 12 months ended December 31, 2012, compared to 59.2% in 2011. In 2008, Transmission revenues represented just 45.6% of our total revenues. This shift in business mix was mainly due to the increased activity in the transmission system upgrades over the last few years and our success in winning several large multiyear transmission projects. In the first quarter of 2013, revenues from our Transmission business were 64.8% of our total revenues. Distribution revenues decreased, in part due to lower levels of storm work in the first quarter of 2013 compared to the first quarter of 2012. We saw a continued improvement in our C&I segment in the first quarter of 2013. C&I segment revenues increased by 15.8% to $40.8 million in the first quarter of 2013 from the first quarter of 2012, primarily due to an increase in revenue on projects with contract values greater than $3 million. Material and subcontractor costs in our C&I segment comprised approximately 40% of the total contract costs in the first quarter of 2013 compared to approximately 47% in the first quarter of 2012. Our overall gross profit in the first quarter of 2013 increased to $27.3 million and $26.1 million in the first quarter of 2012, and our gross profit as a percentage of revenues increased to 13.6% versus 10.9% in the first quarter of 2012. The increase in gross profit -- gross margin was largely due to better project execution, higher equipment utilization and the underlying mix of contract cost components, which included less material and subcontractor costs and lower labor and equipment. Approximately 100 basis points of the increase in gross margin was due to an -- due to improved contract margins on a few large transmission projects as a result of increased productivity levels, cost efficiencies, additional work and effective contract management. On a sequential basis, our gross margin has increased in the last -- each of the last 6 quarters to 13.6% in the first quarter of 2013 from 9.4% in the third quarter of 2011, as our margins have benefited from better execution on our jobs and improved utilization of our fleet assets. First quarter 2013 SG&A expenses were $16 million compared to $15.9 million in the first quarter of 2012. SG&A as a percentage of revenues increased to 8% in the first quarter of 2013 compared to 6.6% in the first quarter of 2012. First quarter 2013 EBITDA increased 14.8% to $18.4 million or $0.86 per diluted share from $16 million or $0.76 per diluted share in the first quarter of 2012. Our provision for income taxes increased to $4.3 million in the first quarter of 2013 compared to $3.8 million in the same quarter of 2012. Our effective tax rate of 37.9% was consistent with 38% in the first quarter of 2012. First quarter 2013 net income increased 12.1% to $7 million or $0.32 per diluted share compared to first quarter 2012 net income of $6.2 million and $0.29 per diluted share. We invested $12.5 million in property, plant and equipment in the first quarter of 2013 compared to $8.3 million in the first quarter of 2012. We expect that our capital spending in 2013 will be similar to our 2012 capital spending. We believe our strategy to invest in equipment and tooling will continue to result in better execution on current projects and help position us to capture additional business in the coming years. Total backlog at March 31, 2013, was $467.1 million, consisting of $356.9 million in the T&D segment and $110.2 million in the C&I segment. Total backlog at March 31, 2013, decreased $30.5 million compared to the $497.6 million reported at December 31, 2012. T&D backlog decreased to $18.8 million or 5%, while C&I backlog decreased $11.7 million or 9.6% period-over-period. Moving to the balance sheet. Stockholders' equity increased to $263.6 million at March 31, 2013, from $254.7 million at December 31, 2012. As Bill mentioned, our return on equity for the last 12 months ending March 31, 2013, was 15.7% as compared to 10.1% for the prior year period. We believe our ROE is one of the best overall financial measures because it relates net income to the equity that shareholders have invested in the company. At March 31, 2013, we had approximately $21.3 million in cash and cash equivalents, no outstanding funded debt and $155.3 million in availability under our credit facility. Our cash balance increased $1.5 million from December 31, 2012, as cash from our operating activities and stock-based awards offset cash used in our continued investment in fleet equipment and tooling. As of March 31, 2013, we had approximately $19.7 million in letters of credit outstanding under the credit facility. Although we have not repurchased any shares to date under our share repurchase program, which became effective in August 2012, our Board of Directors approved an extension of our share repurchase program through August 2014 and increased the size of the program to $22.5 million. We expect to fund any repurchases under the program using available liquidity. In conclusion, solid execution on our jobs resulted in higher gross profit, EPS and EBITDA for the first quarter of 2013. With our strong balance sheet, we believe we are well capitalized for organic growth as well as for possible strategic acquisitions. I'll now turn the call over to Rick Swartz, our Chief Operating Officer, who will provide an overall industry outlook and our view on the opportunities available to MYR.
Richard S. Swartz: Thanks, Paul, and good morning, everyone. Our project teams continue to focus on executing work and managing contracts. Our estimating teams in both our T&D and C&I market segments are evaluating and pricing a steady flow of projects. We continue to see nationwide opportunity in transmission projects of all sizes. These opportunities are largely driven by NERC reliability mandate; new lines and upgrades to accommodate a changing mix of generation sources, resulting from EPA Mercury Air Toxics Standards ruling; potential need for new lines and interconnects to deliver renewable resources; and economic issues surrounding the cost of power, due to congestion. All of these drivers point to a promising outlook for MYR Group, with nationwide opportunities in both the immediate and long term. On our last call, Bill highlighted some of the industry announcements regarding spending on transmission, infrastructure in the Northeastern United States. Today, I would like to spend some time discussing activity in the Midwestern and Great Plains regions. While industry activity remains strong nationwide, and we remain optimistic that we will win our fair share of work in all regions of the country, there are several reasons why we feel MYR is uniquely positioned to capture future projects in the nation's midsection. In the Midwest, MISO MVP or Multi-Value Project portfolio represents approximately $6.5 billion in electrical grid infrastructure investment that is expected to relieve congestion issues, enable the delivery of least-cost energy to consumers, improve system reliability and deliver renewable resources throughout the region. As cited in the January 2012 MISO report, the 17 proposed MVP projects primarily consist of new construction and upgrades of existing transmission lines that will be located throughout Illinois, Iowa, Indiana, Michigan, Minnesota, Missouri, North Dakota, South Dakota and Wisconsin. While a few MVP projects are already under construction, the majority are still in various stages of development, permitting and bidding, and we expect the entire portfolio to be completed between now and 2020. In the Great Plains region, Southwest Power Pool or SPP recently announced the release of their 2013 Transmission Expansion Plan Report, which identified a total of 439 upgrades that will be needed in order to assure system reliability and low-cost power to SPP's 8-state region over a 20-year planning horizon. The report includes over 1,800 miles of 345kV transmission projects that are in various phases of planning, permitting and construction. Aside from the MVP and SPP priority projects, numerous additional opportunities exist among a wide variety of customers and utility located throughout the Midwest and Great Plains regions. Our strong existing and historical presence in both regions is only part of the reason we feel MYR is well positioned to capture a portion of these projects over the next several years. Not only have we constructed hundreds of transmission, distribution and substation projects throughout these regions since the start of our company in 1891, we are currently performing a significant number of small and midsized projects for several clients, such as AEP and Xcel Energy within both regions. From a large project standpoint, we are constructing portions of the CapX2020 Group 1 projects throughout Southwestern Minnesota and the first segment of ITC's V-plan project, located throughout Eastern and Western Kansas. We also recently completed construction on ITC's Spearville to Axtell 345 transmission line, which is part of the Kansas Electric Transmission Authority or KETA project. These projects have allowed us to retain a strong continuity of project management teams and crews who will gain valuable experience working together. We believe that over time, our crews will continue to show improvement in the areas of safety, productivity and efficiency, similar to trends that we have seen with other crews that have worked together over long durations. We expect that the continuity should give us an additional edge as we compete for future projects. Additionally, we anticipate the relationship and experience we've established with these clients should provide us with an additional long-term opportunity on the CapX2020 and V-plan projects that remain outside the scope of contracts for projects currently under construction. Although the potential opportunities we've been speaking about describe opportunities through 2020, we see significant opportunity in these regions over a much longer term. For example, in late 2012, ITC submitted the Great Plains Expansion Project plan to SPP, which represents the planned development of 5 projects that are slated to begin in 2017 and continue for several years. The planned scope consisted more than 2,700 miles of new transmission throughout Arkansas, Iowa, Kansas, Missouri, Nebraska, Oklahoma and Texas. To put this in perspective, the entire MVP portfolio consists of 2,300 miles. Moving on to the Distribution side of our business. We are slowly beginning to see signs of recovery and we feel this trend should continue. After a number of years of deferred spending, customers and utilities will need to make sustained investments on their systems for proper maintenance and reliability requirements, which should be further stimulated as the economy and the U.S. housing markets continue to rebound. Now I'd like to shift over to our C&I business. Again, as U.S. economy slowly rebounds, we have begun to see gradual improvements and increased momentum in bidding activity. Specifically, we've noticed an increase in private development, both in the expansion of existing facility and greenfield construction. Although competition remains strong and continues to create pressure on our margins, we believe we are one of only a handful of contractors in the Arizona and Colorado markets with the expertise, experience, resources and safety record to execute larger, more complex electrical projects, such as large healthcare, government, commercial mining and wastewater treatment facility. Additionally, our experience in smart highway work and data centers continue to define us as a regional expert. Being an industry leader in this large, complex project niche positions us favorably to win this type of opportunities as they come to market. In conclusion, there are many reasons to remain optimistic about the future of our company. Thanks to everyone for your time today. I'll now turn the call back to Bill Koertner, who will provide us with some closing comments.
William A. Koertner: Thank you for the update, Rick. As Rick and Paul have discussed, we are encouraged by the opportunities the future holds for MYR as we believe several markets are poised for continued growth due to increased needs and requirements. I would like to close with a few comments about strategy and risk. As Rick discussed, we see no shortage of work going forward, including large transmission projects. There may not be a second wave of press projects and taxes like the industry experienced the last couple of years, but there should be plenty of work for MYR and its competitors for many years to come. As always, our objective is to maintain and increase shareholder value over the long term. One of the key is to accomplish that is to stay focused and disciplined in our bidding. There are more nontraditional transmission developers in the market today than ever before. In addition to the credit risk this introduces, the contract structures included in many RFPs from both these nontraditional developers as well as traditional utility clients often include greater legal risk, and contractors have accepted in the past. It is important for companies like MYR to fully understand and price those risk factors. And if we are successful in earning the award, we need to administer contracts with potentially more owners' legal provisions as well as managing the physical construction of the project. Now with respect to acquisitions, MYR has not been a very acquisitive company in recent years, preferring to grow organically if possible. We have looked at a few acquisitions recently and will continue to do so going forward. I believe there will be no shortage of target companies in the market in the future. However, as with bidding work, it's important that we stay focused and disciplined with targeting acquisitions, pricing and negotiating deal structures, performing due diligence and ultimately, integrating any company we might buy. We are seeing private equity increasingly attracted to the ENC space, bidding for engineering firms and contractors. These private equity sponsors as well as strategic buyers are armed with plenty of bank financing at very low rates and on attractive terms. This is half the effect of pushing valuations for acquisitions to higher levels and historical trading ranges. MYR and its subsidiaries have been in business a long time, and it's seen the industry go through many cycles. We intend to remain a market leader and know that to do that, we can't take our eye off the ball. This applies to safety, quality, productivity, customer service, meeting schedules, as well as risk-taking. We want to meet our clients' needs, and we also want to be considered the employer of choice in attracting the very best talent available. That's it for now. On behalf of Paul, Rick and myself, I'd like to thank you for joining us today. And as always, thank you for your interest and support. I'll now turn the session over for your comments and questions.
Operator: Our first question comes from Tahira Afzal of KeyBanc Capital Markets.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: This is actually Saagar on for Tahira. First off, you mentioned that the decrease in revenue, you've gone through that quite a bit in terms of why revenue decreased year-over-year in the Transmission business. Could you also walk us through how many large projects you were working on in 1Q '13 versus large projects in 1Q '12 so we can see the change year-over-year there.
William A. Koertner: Rick, you want to take that?
Richard S. Swartz: Yes. We haven't seen -- the number of our large project continue to be the same. We haven't finished any of our major projects. As Bill said in previous calls, we need work. Our backlog are completely filled for the end of this year or into next year. So we're continuing to look for work, but we haven't finished any major projects over that period of time.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: So outside of the procurement differences year-over-year, what was all the reason then for the revenue decrease?
Paul J. Evans: Well, Saagar, I -- primarily, it was related to lower subcontracted materials. You could almost -- the reason I went through the efforts of put the percentage about is suppose like yourself to mathematically derive a similar number that I have derived. And so that's really at an absolute we talked about in -- on our distribution side that we had lower storm revenues, but we've never held ourselves out as a company that derives a lot of its revenues from storm work. I mean, what you saw at the first part of last year, we had projects that we were taking in a lot of materials and just performing a lot of oversight of subcontractor work. As we worked through some of those larger projects, it shifted to more of our labor and equipment.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay, that makes sense. And then last question for me, in terms of the competitive environment, in terms of the bidding environment out there, some of your peers out there have been winning medium to large-sized projects that they've been announcing. So what's the difference, and why are they winning them versus you guys? Is it geographic positioning? Is it pricing? Any more color on that really would be helpful.
William A. Koertner: Let me start off with that, and then I'll ask Rick to comment, because he's more directly involved in the market. Obviously, I'm not aware of exactly the selection process each client goes through. We bid work, propose our qualifications, propose our pricing, propose the markup to the legal contracts that they submit with the bids. I'm not privy to what our competitors are submitting in the way of pricing, as well as markups to contracts. Ultimately, I think the 2 primary drivers on selection is price and risk-taking. And that risk taking is not just an inherent risk like weather and those kind of things that are always there. There's a lot of risk in some of the contracts in terms of what I refer to more as real risk, like liquidated damages, extended warranty provisions, consequential damages. There are lots of risk factors that MYR, as well as all of our competitors, need to evaluate and decide which of those risk we want to take, which ones we're not prepared to take, and those that we are prepared to take we need to make sure that we've got adequate pricing in our overall price to cover that risk-taking. So again, not in the head of any of our clients to make these selections, but I think it boils down primarily to price and risk-taking.
Paul J. Evans: And just to add onto that. We -- from the clients we talked to, the information we get back, it's down to those 2 items primarily, and we've got a long history of tracking our costs, knowing how we attack projects and what that risk is. And we price it accordingly as we see it. And we do everything we can to remain competitive, but we're not in the heads of our competition.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: And, Rick, a quick follow-up to that. I mean, when does the market -- or when do you see the market tightening to the degree where the pricing and the risk doesn't become an issue to the extent that maybe it has over the last 6 to 18 months, in terms of what your competitors are bidding?
Paul J. Evans: Again, I can't say from a competitive standpoint of who competes against us. I can't say what their appetite or what their level is to fill up. We monitor our equipment resources, we look at our manpower out there and we look at the availability in the markets we're going into or the geographic areas and we assess that on every bid we do. Again, I can't answer how our competitors look at it.
Operator: Our next question comes from Adam Thalhimer of BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Like you said, Paul, you had nice EPS and EBITDA growth in the quarter. The drawdown in backlog, I mean, how long can you maintain growth rates, given the drawdown in backlog? Or is that not the right way to look at it?
Paul J. Evans: I mean, it is sure that our backlog declined quarter-over-quarter, but not that much. I mean, of course, we focus on a book-to-bill, and we seek to have a 1 or higher every quarter. That didn't happen in Q1. Do we see continued growth? Well, absolutely, we see continued growth. We see that our labors hours are up, we see our equipment are up, and we continue to invest in, especially, equipment. So I mean, it'd be hard for me to say how many months that continues or how many years. So it will be hard to say, Adam.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Just because backlog is down doesn't mean you're not overly concerned?
Paul J. Evans: I don't think we're that concerned. Obviously, we want to continue to win more additional work, and fill up where we have opportunities to take on more work. And we believe we do have those ability to take on more work, and we're looking for that -- those things. But we're very measured in what we do. As Bill said, we're not going to do this without considering the risks that maybe some others out there are taking on today.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: No, I think that's a good thing. I can appreciate that. And, I mean, last question for me, I just wanted to ask about M&A. And you talked pretty extensively about this, which I appreciate as well. Are there any end markets that you might be interested in where their evaluations are a little bit more reasonable? Maybe, say, something like gas, distribution or something a little outside of your traditional core competencies.
William A. Koertner: Adam, I think, as we've reported on prior calls, as we've looked at acquisitions, vertical integration and something that has appealed to us, expanding in some regions where we're not currently a player or maybe not a significant player that would have appeal to us getting into other markets like the gas, construction. We have also looked at that. So I guess, at the right valuation, the right risk profile, we'd be interested in all of those things.
Operator: Our next question comes from Dan Mannes with Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: A couple of follow-ups. First on the mix in terms of subcontractor revenue, and I think we've looked at this, I think that they are -- the biggest pieces, if I remember right, is ETT. When you look at your existing backlog, is it -- does it more correspond to the Q1 '13 performance? And should we think, going forward, that maybe you're going to maintain sort of a lower level of subcontractor and material revenue?
Paul J. Evans: Dan, I don't know if we'll put out that number or what's the contract mix in our current backlog. I mean -- and the reason I say that is we take on work that's available out there to us, whether it be work that we're doing more self-performing or EPC-type work. We're a function of what the market offers. So we could have a couple of contract next month that's an EPC-type contract, and that percentage could end up in our backlog can greatly change. So what I tried to tell everybody last year is I gave the range and I said we are trending towards the higher end of the range. And then, obviously, on this call, I talked about more precise percentages. It goes between that range, 3x. So it could, by the end of the year, be higher than what it is today.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: But given the current constitution of your backlog, as you know it today, would you say the current backlog is more weighted towards the higher low end of that range?
Paul J. Evans: I'd say the current backlog is probably weighted to the lower end of that range.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Got it. The second follow-up is on the M&A front. Bill mentioned the fact that some PE firms with fairly low cost of debt have been aggressively bidding up. I want to put that in the context of MYR, where your stock is probably one of the cheapest of the specialty contractors. I mean, how do you sort of square that, given the attractive prices, perhaps, being paid for other contractors?
William A. Koertner: Not quite sure what you mean by squaring that. We're certainly aware of these other transactions that have taken place at very high multiples of whatever measure you use. EBITDA, earnings, book value, tangible book value, they've had some deals done at very high multiples. The banks have changed a lot since 2008, 2009, and credit is very available at very low interest rates, but more so than the interest rate, I think, is the looseness of the credit market, so that has fueled a lot of these acquisitions, not only by these private equity firms, but also some strategic buyers. As far as squaring that with MYR, I'm really not -- don't always understand why we're valued at our multiple and how somebody else is valued at their multiple, and why somebody would pay a very high multiple for, maybe, a company that is not that large and doesn't have a lot of history. I guess that's beyond me trying to figure out what everybody is paying for these companies. Our focus is on running our business, producing solid fundamental growth. And overtime, that will be recognized. It's always been recognized in the past. And I feel it will be recognized again. But as you point out today, our stock is a little out of favor.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: I think -- so, I guess, the final follow up on that would be, you guys are clearly optimistic on the long-term future of the company and at the same time, you also did -- you increased your buyback a smidgen. Any thoughts on maybe being more aggressive there, especially in the context of not having actually executed on the buyback in the past years since it's been in place?
William A. Koertner: Obviously, the fact that just changed that means our Board just had a discussion about that and we recast ourself going forward. That is something that is reviewed each quarter with our board. I'm not suggesting that it's going to change, but it is something that we're very conscious of, and I think our stock is an attractive long-term investment.
Operator: Our next question comes from Noelle Dilts of Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Given the shift we've seen in the industry, in terms of how projects are awarded to smaller pieces of the larger projects coming out over time, could you just provide an update on if you picked up any additional pieces of work up in the -- on the CapX 2020 job? And then any update on the ITC V-plan, if you think additional sections of that work could be awarded over the next few months?
William A. Koertner: Over the next quarter, on the ITC V-plan, that project -- we continue to do some pricing exercises and look at that and have discussions with the client. We see that as a good potential for us, moving forward, for the next segment of that project. On the CapX work, currently, on one of the segments, we're progressing into the next segment. Kind of got a starter PO on that side to move out and start hauling structures and assembling some of them, so that one's progressing towards the same result of getting the entire, hopefully, that entire segment is what we're looking for.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And could you just comment -- because we have seen this change, can you just comment on -- once you're working on a job, and you have mobilized your crews and equipment there, I mean, how difficult would it be for another company to come in and say, "Pick up some of the additional pieces of that work." Do you think it's kind of difficult from an economic standpoint?
William A. Koertner: Yes. As Bill said in the past, on many of the calls, I think he's gone into a little bit of detail on that. Once you're on-site and you got your crews working with that customer, you got that mobilization covered, you got your management in place, that's a substantial cost on any project. So it does give you a competitive advantage for sure. Does it stop somebody from coming in and buying the work? Not necessarily. But we feel it gives us a very strong competitive advantage.
Operator: Our next question comes from William Bremer of Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Could you give us a sense of what percentage of capacity you're currently running out -- running at, in terms of transmission at this time?
Paul J. Evans: You mean capacity in the context of our fleet?
William D. Bremer - Maxim Group LLC, Research Division: Exactly.
Paul J. Evans: We can -- I'll answer this way, Bill. We keep on investing in, especially, equipment to grow our capacity. And we said in the past we could take on additional work, and I think we've never said, percentage. That wouldn't really make a lot of sense. I can't determine what the percentage I want it to be. But we're seeing that, we're using our equipment more this year than we did last year.
William D. Bremer - Maxim Group LLC, Research Division: Okay. The reason why I asked, hey, operating margins 10-spot four for the quarter, for the first quarter, that's pretty solid, all in all. It looks as though you're operating efficiently there. Just try to get a sense on if we're operating at 65% or 70%, maybe there's upside to that figure going forward. Correct me if I'm wrong. It seems as though that your backlog year-over-year pricing is actually less. I just want to confirm that.
Paul J. Evans: I don't know how you would derive that to say what it is. One, I know we haven't put that number out; two, I simply would appreciate that the growth in our gross margins, through time, but I don't know how you draw that observation, Bill.
William D. Bremer - Maxim Group LLC, Research Division: Okay. Let me ask it a different way. How do you foresee operating margins throughout '13 going forward?
Paul J. Evans: I think they're going to be similar to what we're seeing over the last few quarters.
William D. Bremer - Maxim Group LLC, Research Division: Okay. And then your book-to-bill on Transmission, definitely below at 1.0. That's the goal, at least, to get to (indiscernible). You've had 5 consecutive quarters of declining in backlog. Maybe subsequent to the quarter, what have you guys been seeing? Are there some near-term material potential contracts that we're just in the final stages on?
Paul J. Evans: I mean, Bill, we're an active bidder. Don't think we would put out specifically while we've got a pending bid in this state and we think we're -- our chances would go down. I don't think we've ever put that out. I mean we've had that question asked of us in the past, specifically on certain projects. And I still think that some information will put out. Rest assured, if we win some of our pending bids, we'll let people know.
William D. Bremer - Maxim Group LLC, Research Division: And then similar question on C&I. Your book-to-bill was quite low there, and it has been definitely gravitating well above 1.0 last 2 quarters. Is this just timing, in your opinion? Or what are you seeing in that particular market for C&I?
Paul J. Evans: I think -- it's -- we've got a favorable trend. I mean, you're looking at a point in time on the book-to-bill. If you look at the trend of C&I over the last year, it's definitely favorable.
William A. Koertner: And in the markets we're in, we're seeing more activity as we've said in our script.
Operator: Our next question comes from Justin Hauke of Robert W. Baird.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: I guess just a modeling question. I appreciate you don't give guidance, but are you -- just kind of thinking of this big picture here, if you look at -- on a net revenue basis, your revenue is basically flat. On -- gross profit dollars are basically flat. And you mentioned storm being a headwind. Obviously, 2012 was a near-record storm year. So, I guess, I'm just trying to think, I mean, can earnings -- can they grow in 2013, given that the backlog is down and, some of these -- at least it sounds like near-term opportunities with V-plan, and whatnot are more follow-on work to what you're doing now? I guess, can you just maybe help us think about, directionally, the path of earnings for 2013?
Paul J. Evans: Well, Justin, let's just talk about what we've given folks like yourself. I told you now the past year percentage and the way to think about that. We've told you, in our presentation, we say, on average, what we do on storm revenues. I wouldn't characterize storm in Q1 as the headwind. Again, we're not like some of our competitors that set up their business to make a lot of money after storm work. But what else have we given you? We told you our CapEx levels, we tell you our tax rate, we tell you SG&A and nominal dollars. So I think, for you, what that really remains is what's your view on our labor and equipment growth, and then your view on what do you see is our opportunities for additional business throughout the year. So overall, provided we see continued growth in our labor equipment, and we can do what we do, and we do it in a safe and profitable manner, we see '13 as a positive year for us.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, I guess, maybe another question on your gross margins. You've talked about -- on a total reported revenue, gross margins being in the 12% to 15% range. I guess, do you have a target that you look for on a net revenue basis that maybe we can use to think about if the past year contribution kind of normalizes here?
Paul J. Evans: Well, the answer to that is no. We don't look at it that way. But let's go back to your 12% to 15%. I'm not sure I have ever said that our gross margin is 12% to 15%. I think what we might have said in the past that the margin opportunity on some transmission job is between 12% to 15%, the contract margin, but we've never said that, that -- for the company, that's the way to think about our gross margin.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, I guess, the last question. Just can you give us what the actual storm contribution was this quarter?
Paul J. Evans: I don't have that available to me, and I don't think we've ever put that out in nominal dollars quarter-to-quarter. We did it for Q4, obviously, to deal with Sandy, we did mention how that impacted our overall gross margin, but I don't -- I'm not sure if we've actually given the dollars.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: I think last year you said it was $1 million in 1Q '12, and so, I guess, I'm just wondering how it's down this year or if it is, maybe it's similar?
Paul J. Evans: I don't think -- well I know the number but I don't think we said it was $1 million for Q1 of '12.
John A. Scott - Johnson Rice & Company, L.L.C., Research Division: Okay.
Paul J. Evans: It is down, but the way to think about it, Justin, is, take some comfort in what we've put in our corporate presentation. We lay out a 7-year average in -- for your modeling purposes. That's the way you should think about it. Now how you slice and dice that, over the 4 quarters, that's your call.
Operator: Our next question comes from Craig Irwin of Webush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: There have been a lot of questions about backlog already, but I just wanted to clarify and maybe see if you can confirm my understanding from the prior questions. So it sounds like the pass-through content in your backlog today is at the bottom-end of the range. So on a relative basis versus a year ago, there's potential for greater gross margin in backlog on a percentage basis. And my question is, can you comment whether or not you believe the gross margin in backlog, on an absolute basis, would be materially better than the negative 27% backlog number we have year-over-year? And anything else you can help us to understand that would be useful.
Paul J. Evans: When -- let's talk to about when you say negative 27%, can you just shed some more light on that where you're driving that number?
Craig E. Irwin - Wedbush Securities Inc., Research Division: Total backlog.
Paul J. Evans: So the decline in backlog. Yes, it is true. There's less after cost in our backlog today than there was a year ago. And what we've also said, the tendency is, we have, on a job, more labor and equipment, because we bid that on a higher level than we would normally do on materials and subs. The tendency is that we could see higher margins from that work.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Okay. But then the comparison to the year ago, is there anything you might be able to share with us as far as, proportionately, how much of the delta that might consume?
Paul J. Evans: I guess I'd have to put pen to paper to try and answer your question. Off the top of my head, I don't have an answer for you.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Okay. Then my second question was related to the productive revenue. So you shared with us pass-through revenue, and you were very specific in your press release saying material and subcontractor costs in the T&D segment. So that allowed us to go and calculate the productive revenue, including the profits, and do a calculation on the profitability in the segment based on that productive revenue. Now over the past several quarters, you've talked about small T&D projects being materially more profitable for MYR Group. But when we look at the operating margin on that productive revenue, there really is no material change, year-over-year, even though the understanding is that you're executing on a much greater mix of these small T&D projects. So I wanted to see if maybe you could respond to that analysis, and help us understand if this was really just a first quarter phenomenon? And what you see, as far as pricing differential, looking at sort of the productive revenue comparison?
Paul J. Evans: Productive revenue is not a term I'm that familiar with. But what I get a sense you're saying -- and I think there's a belief out there from some of our analysts that we earn no margin on with materials and subcontractors. That's not true, That's not how percentage of completion accounting works. We make a margin on everything that runs through our books. How we bid work is we'll put a higher margin on our labor and equipment and a lower margin on materials and subs. All those come together to create the aggregate contract margin. Once you have that established, as the project moves forward and costs are incurred, you apply that aggregate contract margin to derive what is your revenue. So all of our revenue is productive. Some is more productive than others.
Craig E. Irwin - Wedbush Securities Inc., Research Division: That's actually a point of clarification I really wanted to touch on. So in your press release, again, you say material and subcontractor costs in the T&D segment, and then you gave us the numbers of 43% and 27%. So that's cost excluding the gross margins associated with that activity, correct?
Paul J. Evans: That's just the cost. And...
Craig E. Irwin - Wedbush Securities Inc., Research Division: So then, if we look at the revenue excluding the pass-through and include all of the profit in the segment, all of the profit gives us a profit margin on productive revenue. And really, the profitability, year-over-year, is not seeing the benefit of the mix shift.
Paul J. Evans: No, I don't think that's the case, Craig. I think you continue to isolate saying that we don't earn any margin on materials and subs. What I've said is we do earn a margin on that, but the tendency of that piece of cost tends to drag down our overall contract margin.
Craig E. Irwin - Wedbush Securities Inc., Research Division: So then it's -- maybe there are potential clarification to what you say in the press release that you should look at?
Paul J. Evans: No. I think the press release is fine. I've gone to great lengths to lay out these percentages to really just leave folks, like yourself, just making an assumption on what does the year look like for additional work for us, and what is your thoughts and how that manifests itself is what you think about our labor and equipment growth.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Excellent. No, and you've made that quite clear in many of the preceding questions.
Operator: Our next question comes from Cory Mitchell of DA Davidson.
Cory Mitchell - D.A. Davidson & Co., Research Division: Thanks for providing that overview on upcoming bidding opportunities. But can you talk a little bit about your outlook for more near-term bidding opportunities, maybe just through the next few quarters, compared to what you guys are seeing this time last year?
Paul J. Evans: I think it's geographically driven. We're seeing -- it seems to change around and on a regular basis. We're seeing increased activity in a lot of areas. And -- but in some areas, we're also seeing some increased competition, so I think we -- there's nothing out there we don't go after. But I think it's both regional market and specific time base, so it changes monthly.
Operator: [Operator Instructions] Our next question comes from Debra Riskin [ph] of Charter Oak Partners.
Unknown Analyst: You've been through a lot of this stuff. But I just want to clarify to make sure I understood it. So when you gave the 27% for this year for the revenues for the T&D, and the -- and -- but, I guess, actually, I'm thinking in terms of the backlog. If the -- if you have the same percentages, which I know you're not saying you had, but if it was 27% from materials and subcontractor and -- this year versus 43% last year, I backed it out, I did the math that you've suggested, and the backlog, with a higher margin with labor and equipment, I got to be $260 million versus last year's $213 million. So that's actually up 22%. Is that correct?
Paul J. Evans: Without having -- running that calculation myself, it would be hard for me to answer that for you. I mean, I'd love to answer it. I just -- I would have to, sort of, perform that calculation myself.
Unknown Analyst: I guess, you were -- I thought you were actually walking us through that to tell us that's what...
Paul J. Evans: No, I mean you've asked it in the context of a different way. What I've told folks in the past is a way to think about -- I have given it from a high end. We've given the range of 30% to 45% of pass-through costs. This time around, I took that discussion further to say, in the T&D, here is the percentage, here is what it was last year, and then the C&I. And what you've done is you've taken that percentage, you've taken it, isolated it in the backlog, isolated out what part of our backlog is related to T&D. So I need to just go through that math myself, which -- I can't do it on this call.
Unknown Analyst: Okay. It seems fairly dramatic in terms of while on the surface, the backlog number is looking down, if you look at the quality of it, it looks like it's gone way up.
Paul J. Evans: Yes. I would say that the quality -- that's certainly another way to look at it. I mean, if you looked at our backlog, a lot of the growth, and then the decline, in some way is related to a lot of pass-through costs going into our backlog. If you backed that out of it and you looked on a longer timeframe, you see a steady -- a nice, steady increase in our backlog. Why? You see labor hours up for about a long period of time. Why? You see our equipment utilization and we continue -- and we've invested a lot of money over the last few years in that, and we still have a high level of equipment utilization.
Operator: With no further questions, I would now like to turn the conference over to the MYR Group for any closing remarks.
William A. Koertner: I'd like to thank everybody for participating on the call. We're very excited about the opportunities in our T&D and C&I markets. And we have a strong management team and employee base, and I'd like to thank them for their hard work and thank our stockholders for their continued support. I don't have anything further. We look forward to speaking with everyone on our next call.
Operator: Ladies and gentlemen, this does concludes today's conference. You may all disconnect and have a wonderful day.